Operator: Ladies and gentlemen, welcome to the VIG Preliminary Results for the Financial Year 2024 Conference Call and Live Webcast. I am Youssef, the Chorus Call operator. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it’s my pleasure to hand over to Hartwig Loger, CEO of VIG. Please go ahead.
Hartwig Loger: Thank you very much. A warm welcome also from our side from Ringturm in Vienna, and we are pleased to welcome you to our telephone conference. Starting with the results of 2024, I just also want to remind that 2024 was a special year. We celebrated 200 years of existence of the roots of our group. So I think the long-term sustainability is fixed in this way and also 30 years of listing on Vienna Stock Exchange, which might also show our resilient development also in this case. Coming maybe on the first slide from my side, taking an overview about the key KPIs of last year’s development. We see all over strong full year performance from VIG, especially with very strong growth on gross written premium. We reached more than €15 billion of premium, which is by €15.2 billion, more than 10% up on the result of last year. Changing to IFRS 17, we see that insurance service revenue also increased by 11%, up to €12 billion. And the most important for us, that profit before taxes increased by 14.1%, up to €881.8 billion. What we see also is that P&C net combined ratio is also up 0.8 points to 93.4%. We will come back to that in detail. It is also, of course, influenced by the big storm Boris, which took part in summer last year. And earnings per share increased to €4.98. And up to that, also a positive impact we have on the operating return on equity, which also increased and improved by 1.3 points to 16.4%. So all over, very positive performance and very positive also developments in the main key figures. On the next slide, will go on with, I think, one of the most important factors of our development over the last years. And also for the future, this gives a strong basis for good performance over the next years. It is the diversification. And we show here in the 2 pictures, the gross written premiums diversification by segments. Here, we see that Austria over is about 26%, and that also extended CEE already in premium is balancing the Austrian book. Czech and Poland with 14% and 10%, quite strong, and also special markets coming up with around 9%. In this case, going to the right part of the results, we see result before taxes. Still, Austria is even higher in the level of results, even also Czech. But what we see is that there is already a quite good balanced situation coming from Extended CEE and special markets. And this also we see in the perspective for the future that the potential we have is that especially Central Eastern Europe will improve also in the balancing of the result before taxes. And what is most important, and Liane Hirner will come back to that, that we have not only the growth of premium, but also the result before taxes in a very balanced situation in between the segments, in between the business lines, and the diversification all over is stabilizing also the results. Next slide, the dividend proposal. The Board members will propose up by 10.7% to last year. We want to increase the dividend to €1.55 per share, which gives an attractive dividend yield of 5.1%. You see also in the chart, the dynamic increase in the payout of dividends, which is also important to be seen on the basis of our dividend policy, which we defined last year already. So there, you are fixed that there is the minimum dividend paying now in the proposal for ‘24 is, again, the minimum for the dividend increase of the next years, which will also depend on the operating earnings situation, and I will come back to that later with also the outlook for ‘25 so that we can expect here also a dynamic perspective and the dynamic development for the next years. Saying this, I will hand over to Liane Hirner to go deeper into the financials.
Liane Hirner: Thank you, Hartwig and also from my side a warm welcome to everybody in the call. Let’s have a closer look at the group income statement, which we show on Slide 7. Apart from the already mentioned positive development of insurance service revenue, which is up by €1.2 billion, mainly driven by the P&C business. I would also like to highlight the increased total capital investment results. This was mainly the result of a higher interest revenue from the bond portfolio supported by the market interest rate development. We presented strong results before taxes of €881.8 million, includes a goodwill impairment of €116.3 million made in Hungary. As a result of the repeated prolongation of the additional insurance tax by the Hungarian government, scenario analysis have been performed to further expenses arising from this tax beyond the current statutory period. This resulted in a significant reduction of the cash flow projections and led to the impairment of goodwill. The tax ratio was 24.4%, is 1 percentage point below last year’s 25.4%. The tax ratio in this range is also to be expected for 2025. On Slide 8, on the next page, we show the insurance service revenue by segment. Double-digit growth rates were recorded in Poland, the Extended CEE and the special market segment. The strongest contribution to the revenue growth is more than €450 million derived from the Extended CEE segment. The Romania, Slovakia and the Baltics as well as Hungary and Bulgaria showed solid growth in the motor and the other property lines of business. These lines of business are also the reason for the dynamic development in Turkiye being the main driver for additional €307 million insurance service revenue in the special market segment. Austria followed with an increase of €236 million in revenue, mainly coming from non-life. On Slide 9, the strength of the non-life and health business also reflected on the – in the insurance service revenue development by lines of business. With the exception of life business with profit participation, all lines of business were growing double digits. Other property was the main contributor, with an increase more than €670 million, followed by motor third-party liability and Casco, motor own damage, each with an increase of more than €220 million, and health with an increase of €108 million. Let’s move on to Slide 10 in the detail of the result before taxes development. Despite the already mentioned goodwill impairment in Hungary, the Extended CEE segment, with a plus of €85.7 million, contributed to more than 50% of the overall profit growth of €109 million. Poland, which result before taxes last year was burdened by the restructuring measures taken with regards to the effective merger, was able to increase its profit by €35.7 million. Together with the €24.4 million increase in the specialty markets segment, the positive developments in these 3 segments outweighed the result before taxes declines in Austria and Czech Republic. This shows one of the advantages of the broad service diversification of VIG. Increased combined ratio due to weather-related claims and the decreased capital investments result in Austria were the main reasons for the profit decreases in these two segments. That did not harm VIG’s overall strong profit growth of 14.1%. As I have mentioned, the combined ratio increased in Austria and the Czech Republic. Let’s have a look at the combined ratio on Page 11. Overall, VIG’s net combined ratio remained on a sound level of 93.4%, slightly up by 0.8 percentage points. The discounting impact on the claims ratio was 3.4% in last year. There has been no material change in the figures relating to winter storm Boris that we announced in our conference call in November already. Gross losses from this exceptional NatCat events amounted to €617 million last year. Thanks to VIG’s comprehensive reinsurance program, the impact was limited to a net figure of €70 million, demonstrating VIG’s conservative approach. On Slide 12, we show the CSM roll forward for the Life and Health business. The overall decrease of 4.7% was mainly driven by the changes in variable fee approach. Lower interest rates, compared to the previous year, caused a minus of €286 million. Worth mentioning for 2024 is the relation between new business of €480 million and the CSM release of €513 million. The Sustainability Index of 93.6% was also impacted by the profitable new business volume from Turkiye that supported the further increase of the new business margin to 10% after 8.9% in 2023. With this, let’s move to the investment portfolio. On Slide 13, we present the details of the already mentioned increased total capital investment results. Main driver for this development was the increased interest revenue from the bond portfolio. The investment volume in bonds decreased by more than 400 – increased by more than €450 million in 2024. Total investments amounted to €36.5 billion, up 3.4% compared to the previous year. The next page, Slide 14, shows the usual breakdown of investments. Compared to 2023, the proportion invested in bonds decreased slightly from 75.3% to 73.8%. The proportion invested in property remained stable, whereas the proportion in cash and deposits increased from 7.8% to 9.5%. The total average new investment yield in 2024 was kept at a favorable 5.3%, only slightly down from 5.5% at year-end 2023. As the bond portfolio split by rating and issuer is rather unchanged compared to the previous year, I would like to move on to Slide 15. Our diversification across markets, lines of businesses and distribution channels strongly supports our resilient business performance. On the right-hand side of this slide, we are pleased to share our government bond portfolio by country, which also shows a very diversified picture. The Czech Republic and Poland are represented with a share of around 14%, followed by Austria with 9.2% and the share of 9.7% for Supranationals. Romania, Turkiye and Slovakia have each share above 5%. The remaining government bond portfolio consists of more than 20 countries with less than 5% exposure. With this, I come to my last slide before I hand back to Hartwig for the outlook. The excellent capitalization of VIG is reflected in the strong solvency ratios, both with and without transitional measures shown on Slide 16. The solvency ratio, including transitional at year-end 2024 was 261% after 269% at year-end 2023. While own funds only slightly increased year-on-year by €56 million, the SCR increased significantly by €142 million, driven by strong business growth. The solvency ratio, excluding transitional, also slightly decreased from 243% to 238% at year-end 2024. Given the ongoing challenging geopolitical environment and all the uncertainties it brings, we are comfortable with the solvency ratio of 238%, which remains above our target range of 150% to 200%. With that, I would like to hand back over to Hartwig for the outlook.
Hartwig Loger: Thank you, Liane. So I will continue with the next slide, #18, where we show, I think, an quite interesting and significant charts, with the forecast of GDP growth on a global basis. And what you see on the right side is that the countries of Central Eastern Europe and also Central Eastern Southeastern Europe are quite above the average, what is then concerning to Western European or even European Union basis, we see that all over, we are in the right region. Also in the perspective of growth in the next years which will be also stable above the average, which will be reached in the Western and European Union countries all over. So we see also in the chart on the left side that with expectation of 1.2% or 1.4%, that the expectation in Central Eastern Europe still is quite doubled in the size to that, and it is in the ranking on the chart on the right side shown also in a global perspective that Central Eastern Europe is quite and still a very interesting region for expansion and for investments. That is also the positive support given to the outlook 2025. On the next chart, we are ready as the management seen also the last years that there has, of course, been impact also on the geopolitical and also on the macroeconomical conditions. But what we see up there, that with the diversification already mentioned by Liane before and also performance over the last years, that we can, in a positive way, look also in the perspective and also the weighted form of results range. And out of that, we have a clear ambition that also in the profit before taxes for the upcoming year ‘25, we expect a range between €950 million to €1 billion in the financial year ‘25, which is also given this positive performance another step on. And as it was mentioned by me before, also in the expectation to – in the link to our dividend policy, we have a common positive expectation to the future. That’s from our side, our presentation. And so I give back also to the moderator, and we are looking forward and we are very pleased to answer your questions.
Operator: [Operator Instructions] The first question comes from Youdish Chicooree from Autonomous Research. Please go ahead.
Youdish Chicooree: Good afternoon, everyone. Thank you for taking my questions. I’ve got three questions. The first one is on your guidance. And I was wondering whether you could elaborate on some of your assumptions behind it, mainly in terms of revenue growth, P&C combined ratios, etcetera? That’s the first question. And then secondly, just on your top line growth that you reported actually in the last 3 years has been quite strong. Now that inflation has moderated, would it be fair to expect like quite a significant deterioration from the double-digit growth you have achieved? And then finally, on capital deployment, I mean, once again, you end the year with a very strong solvency ratio, whether or not we include transitional. So I was wondering, I mean, in the process that you would deploy the excess by reinvesting in the business and on M&A as opposed to distributing to shareholders. So firstly, is that still your position? And then secondly, on M&A, what are your target countries and lines of business for expansion? Thank you very much.
Hartwig Loger: Okay. I will take and start with the last question from my side. In your question, what about our interest in M&A and maybe investment in that case? I just want to open that we are still in our strategic program, VIG 25, which is ending this year. And we already started the discussion about our strategic options for the next 3 years, ‘26 to ‘28. In this discussion, already started, but not finished. We also are screening our core market, Central Eastern Europe, where we have quite strong market positioning in main markets, also as market leader, but we still are interested and see the potential, for example, in the country, Poland, but also – as you know, we are also interested to clear up about positioning or starting more activities in Slovenia. So this is on the basis of the current existing markets. But still, we are screening also in the way of expansion in the form of special markets. As you know, we have beside our 20 core markets, 10 special markets already, which are focusing sometimes in niche perspective on growth, but also in a very profitable way, expanding and supporting our total results. So this means that we are ready. And as it was mentioned by Liane, also our strong solvency basis gives us the support also to taking the opportunities which will come up and fit to our strategic program, which we will then present also end of this year to clear up which activities will follow in this way. To the other question, I hand over to Peter Höfinger about your question to combined ratio.
Peter Höfinger: Thank you for your question. If I understood it right, it’s combined ratio and the correlation to higher guidance for the year ‘25. So on one hand side, truly, we have been benefiting from inflationary effects from the last years, which was also driving our growth. But please never forget, inflation means that we also have increased our sums insured, our underlying sums insured. So also this effect is here. We are now on a higher level of sums insured. We have, on one hand side, within our investment portfolio, we were able over the last years to shift to higher yield bonds. We are continuing to benefiting out of this, even though maybe interest rates could be flat going forward. Our portfolio has been changed over the last years. So investment results, on one hand side, will support our further development of results. On the other hand side and this was mentioned in the presentation of my colleagues, you saw the forecast of GDP. We will benefit from the GDP growth. This GDP growth is also quite supported by internal demand. We had an overproportional salary inflation in Central Eastern Europe, maybe differently to some other businesses. We do have more clients than [indiscernible]. Therefore, we are overproportionately benefiting from salary inflation, having our customers having a higher living standard and therefore, a higher need for insurance. This is even supported by tendencies which we see of repatriation of CEE people working in Western Europe coming back to Central Eastern Europe, seeing the attractiveness of job opportunities, but also rising living standards. I have just one figure in mind, which is Romania. So in Romania, since the end of COVID, more than 850,000 people have repatriated to Romania. These are principally younger people, more energized people, people which are expecting higher standard of living, which they have learned in Western Europe, and they are also willing and used to insurances. So also this will support and drive our growth. This makes us quite confident that we will reach our guidance, which we are giving for the year ‘25.
Youdish Chicooree: Alright. It sounds like there’s quite a lot of the growth is assuming some decent volume growth from all the factors you mentioned. So I would think that is not just motor, but also property and other lines of business.
Peter Höfinger: If I understand it right, because unfortunately, your line is not so clear. It will be driven by all the non-life lines. And if you look on our performance over the last year, the performance was also very much driven by Casco business. And Casco business is the clear indication of internal demand. People are willing to buy new cars, used cars on finance basis. Therefore, they need also to take out a Casco insurance, which shows a very positive consumer climate and this, we believe, to continue.
Youdish Chicooree: Alright. Thank you very much.
Operator: The next question comes from August Marcan, UBS. Please go ahead.
August Marcan: Hi, good afternoon. Thanks for taking my questions. I have two, if that’s okay. First, on the payout ratio, I appreciate this might be a good problem to have. But given your strong EPS growth, it has outpaced the DPS growth over the last couple of years. So the payout ratio has been declining. Do you see any scope of increasing the payout ratio from the low 30%? And what will be the binding constraint limiting you if you don’t see that? And then secondly, on your reinsurance, last year, Boris was a massive event in the CEE. Did this change your reinsurance program or increased reinsurance pricing at the renewals?
Peter Höfinger: I’m happy to start with the second question of reinsurance. Yes, Boris was a major reinsurance event. It paid off that we have invested over the last years and decades having a close relationship. We are working together with two external modeling companies. There is no market model in Central Eastern Europe. So our models most probably are the most sophisticated. We are the market leader. So the reinsurance industry, when they want to get Central Eastern Europe as a diversifying element in their portfolio, to sign in our contract, this is then reflected on the conditions. This is also the reason why we have been able also the last years and the hardening to still keep our terms and condition. And also looking forward, in principle, we will keep our basic logic of the program. There will be certain adaptation, but one also has to be clear. Boris has been a modeled event. And we therefore also paid model premiums in the past. So, reinsurance industry did accept that this event is happening because for this, we are buying. Reinsurance industry, there is no major change in our reinsurance politics going forward.
Liane Hirner: I am happy to take your question regarding the payout ratio and dividend per share. Last year, we changed our dividend policy from – to last year’s dividend as a minimum dividend. So, we increased this year, as already has been said, from €1.4 to €1.55, which follows the positive development of our performance. We have no plans to change this dividend policy, also if we consider a dividend yield of 5.1% as attractive also in the current interest rate environment. And I would also like to remind you on the positive outlook Hartwig Loger gave before. So, we have the guidance of our profit before tax in the range between €950 million and €1 billion, which shows a positive development also expected for next year, which also should lead hopefully to an increased dividend. I hope this answers your question.
August Marcan: Yes. Thank you.
Operator: The next question comes from Thomas Unger from Erste Group. Please go ahead.
Thomas Unger: Yes. Hello. Good afternoon. Thank you for taking my questions also. I would like to get some more details on the outlook for 2025. If you could talk about the individual geographical segments Austria, Czech Republic, Poland, Extended CEE, where do you see – what do you see as the growth driver for 2025 in terms of revenue growth, but also profit development? Do you see the smaller segments, Extended CEE, special markets continuing to be the growth drivers, or how do you see the Austria and Czech Republic developing? And looking back and staying within the segments, Extended CEE, very positive development in 2024. If you could zoom in on this segment and talk about the countries in a bit more detail, Bulgaria, Romania, the Baltics, Slovakia, all with very significant earnings increases. I would appreciate that. And then also the significant uncertainties currently to your political financial markets, how do you see that affecting your results, or how does that affect your outlook for 2025? The impact on the capital investment result from the yield curve changes and so on and so forth. And also, do you have a – for the capital ratio, do you have a combined stress scenario if multiple impacts affect you negatively? What could be the impact on the capital ratio? Thank you.
Hartwig Loger: Okay. Thank you for your questions. I will start from my side and then hand over maybe to Peter Höfinger when we come to Romania, Bulgaria and maybe some other detailed countries. So, I think overall, our outlook for ‘25 is running on the basis, which was successful in ‘24. What we see especially is that Poland still has room for growth on a higher level and also profit. So, this segment, I expect from my side, will come up in ‘25 again. As you know, we did the merger in ‘24 also to focus and concentrate in our activities there. There is still potential in also parts of P&C and also corporate, where we are focusing on in the strategy in Poland. Your question to Austria and Czech, on the one side, when we come back maybe to Slide #18, where I mentioned also the expectation on GDP growth, we know currently that Austria is on a quite low level. The recession weighted also for ‘25. But even in Austria, we see out of the development of ‘24, there is room, especially also in the way of health business, but also in the expectation that life will step-by-step come back and/or especially Wiener Städtische is showing also in the partnership with Erste Group, that there is the possibility still also for growth above the market. And in this form, also inflation coming back in some form will also bring a basis of growth in Austria still. Czech, for itself, there is some pressure on the market, but with two strong players, especially besides Kooperativa as the market leader, we have CPP still in a very positive growth activity. Here, we also have high potential in cross-selling coming up of the existing portfolio. So – and also with new life insurance, we are quite successful on the market, which will also bring up positive expectation for the upcoming year in this area. You touched also Extended CEE. We have, in ‘24, very strong support in this form of Romania. And so I think now I will hand over to Peter Höfinger to go into detail that way.
Peter Höfinger: I will start a bit more in general words about Extended CEE, also with the smaller countries. Looking in the more volatilities we are having and the more volatilities we have ahead, not just geopolitical. All these countries in Extended CEE are used, over the last years and decades, to deal with volatilities, therefore, societies, but also the businesses there, to have a very different resilience in scoping with these challenges. I mentioned already in answering before one question, there is a certain repatriation element from Western Europe, having a lower economic performance in Western Europe, therefore, giving less opportunities for people from Central Eastern Europe having their jobs, returning to their home countries, which gives an impetus of energy and new labor forces, which is important in all these people, which have been outside of what we call the Extended CEE. They have an education. They have – they understand the languages. They have seen a different way of living. They have a different expectation on the environment, which I also would like now to have again in the home country. All this is also driving the dynamic which we see there. This is also supported with looking to the dynamics of going more to a multi-polar world with taxes and tariffs, where also within Europe, manufacturing companies will have to think about having their manufacturing sites within the European geographical area. So, in lower distances to the main factories maybe in Germany, also this will further support foreign direct investment in our region combined with having the repatriated people from Western Europe, so we are having workforce there. Specifically in Romania, we do have in Romania, currently quite a volatile political situation, but there is a certain decoupling of the economic environment from the political situation. So, economy and GDP growth is quite favorable in Romania, regardless of the political topics. And we see a positive atmosphere and a positive business approach in Romania. We are having still the issues with regulatory topics, with certain price capping on the motor business, but this is now already for some time there. This price capping has forced us to focus very much on other lines of businesses. And we see now the first fruits of having the very much focus on non-motor business lines and growing very much in property and private property and commercial lines and health, which is supporting the profitability which we see today in Romania, and we have a profit increase in Romania of 46%. We have an increase of insurance service revenues, about 25%. And quite similar in Bulgaria, where we are also growing double-digit in profits and in insurance revenues, so we are also to have a quite optimistic and positive outlook for Extended CEE for the year ‘25.
Liane Hirner: I am happy to take also your question regarding the uncertainties and how this affects our outlook and other KPIs. I would like to remind you that in the last 5 years, we had uncertainties to manage, and we managed them very successfully. And as such, we feel very well prepared also for the volatile current environment and also in the upcoming months, we expect some volatility. We have models in place for our stress test scenarios. And due to our high capital strength and also due to our diversification, which leads always to compensatory effects, I am quite confident that we will handle the upcoming volatilities also in the same way as we did in the last years. And here, I would also like to mention that EIOPA did a stress test last autumn. 48 companies or groups who were participating in this stress test, and the outcome for VIG was that after the stresses without any management reactive measures, we had still a solvency ratio above 200 percentage points, and we are with this result among top three companies in Europe. So, due to our high capital strength and also diversification, I am confident with the outlook that we have given for 2025.
Thomas Unger: Thank you very much.
Operator: The next question comes from Tejkiran KM from WhiteOak Capital Management. Please go ahead.
Tejkiran KM: Hi. Thank you very much for the opportunity. I just wanted to double-click on the 2025 outlook again. So, thank you very much for the comments on growth and profitability development in your answers to the previous questions. But I also wanted to understand, if we adjust for the impairment in Hungary for this year itself, so the profit before taxes adjusting for the impairment would already be in the range that you are targeting for next year? So, does that mean that with all these developments in the business, you might also expect one-offs, and this target is given adjusting for those one-offs, or how should we think about both of these factors interplaying with each other? And my second question is on the impairment again, if you could help us understand whether you – as of your current expectations, do you think we are all done, or are you – what should happen next year that might trigger another impairment in Hungary? Thank you very much.
Liane Hirner: I am happy to answer your questions. Let’s start with the impairment. As I already explained before, this impairment was the result of the additional insurance tax burden by the Hungarian government. And we had – we performed some scenario analysis behind, and the result was – and I must say we had a conservative approach approaching our scenario analysis that this resulted to this impairment of €116.3 million. The remaining goodwill in our books is approximately €70 million. So, the risk for further impairment and if it materializes, will not really affect materially our results. Going forward, we will see how the Hungarian government will deal with the additional insurance tax. And if there are any changes, negative changes, this could lead to further impairments. But as I have said before, this is from the total amount, not something that we cannot manage here at the group. From the result, the result was impacted by the additional tax. In 2024, the amount was approximately €50 million. For 2025, we expect a negative profit participation from the additional tax in the amount of €30 million. We will see what will happen in 2026. If we exclude the additional taxes, the company has a sound operating performance, and this is also our expectation in the mid-term and long-term future. I hope this answers your questions.
Tejkiran KM: Yes. Thank you very much.
Liane Hirner: Thank you.
Operator: The next question comes from Rok Stibric from ODDO BHF. Please go ahead.
Rok Stibric: Hi. Good afternoon. Thank you for the presentation and also the opportunity to take my questions. Yes, you mentioned basically a lot of things already, so I will be brief. I have only two follow-up questions. First one is regarding the guidance. We talked about Casco and regional development. However, I would still be keen on learning a bit more on how do you see Life and Health segment developing in the next 12 months, let’s say? And my second question is concerning the capital management or dividend policy, if you may. So, I understand that there could be some M&A plans coming up. You don’t really feel like changing the dividend policy that you recently established. However, I mean I am just looking at numbers now, you increased your cash position by 10%, solvency is in a very comfortable level, could maybe special dividend be an option, is this something that you were considering when proposing the dividend to the Supervisory Board? Thank you very much.
Peter Höfinger: Thank you for the question of life and health. I will start a bit with life business, on one hand side. After many, many years of low interest rate or zero interest rates, we are again back to an environment with interest rates, which is again giving a higher attractiveness to our classical life product. There is no other product, no banking product, which is offering this kind of guarantees in the long run. And you have to be aware about one topic, very different in Central Eastern Europe than maybe to Western Europe. State pensions already today do not give enough state pension keeping your living standard, which you have until your working time. Everybody who is working today and is in a working age knows this, so the sensitivity, the awareness of old-age savings is in the end, much higher in CEE than maybe in some Western European countries where we still have very luxurious state pensions, and the need to put the money aside is not so imminent than maybe it is seen in Central Eastern Europe. So, therefore, we are quite positive about the life business. Also in relation with our banking partner, Erste Bank, also seeing the topics of limited state budgets and therefore certain reduction on social security elements in the countries gives a protection gap for elements on one hand side in risk life, but also very much in health business. So, we are positive with product innovations on the risk side, biometrically, but also on the side of old age savings that there will be again a certain dynamic which we will benefit of in this area. In health business, when you look on the catch-up potential of living standards in Central Eastern Europe, on one hand side, you see it with Casco so people bought quite newer cars. Apartments have been refurbished. People have been on holidays. What they are now also expecting is reasonable and state-of-the-art healthcare, which is not in most of the cases provided by the state health system. That’s the growing element of our health business, and we are growing in Central Eastern Europe, more or less all over the place double digit because people are willing to take out the health insurance, to receive health treatment and healthcare on the standard, which they expect and which they have learned outside of the countries. We are very much involved in further developing healthcare products, which are very much supported by digital features, where there is a high willingness and acceptance by people of Central Eastern Europe to overuse digital applications in healthcare, and we are also willing to go down the value chain. So, there is already a country like in Bulgaria, where we have invested into a health clinic. So, also to ensure that we provide these kind of services to our insurance clients for health. We are quite bullish on how health business will develop for years to come.
Liane Hirner: Regarding dividend policy, I already explained that we changed it in 2023, and there are no plans currently to change the dividend policy, which introduced a floor of the last year’s dividend to be the minimum dividend for the next year. So, €1.55 will be the basis for 2025. As we are – as we expect growing business and growing profits, I would also expect that the dividend, following the improved results, will also follow this trend. I would also like to remind you again that we are still in a very volatile environment. We are well prepared for this volatile environment through our diversification and strong capital position. But taking this into account, no special dividends are in discussion for the time being. So, we will stick to our dividend policy for the moment and no changes here in the near future plans.
Rok Stibric: Many thanks both of you.
Operator: [Operator Instructions] The next question comes from Bhavin Rathod from HSBC. Please go ahead.
Bhavin Rathod: Hello. Good afternoon. Thank you for taking my questions. So, I have three on my side. The first one would be on the combined ratio, Slide #11, wherein we are seeing a 0.8 percentage point deterioration. However, if I go a step back and look at the combined ratio of nine months ‘24, it was rather flat on a Y-o-Y basis. Implicitly, this means there was some underlying deterioration in the fourth quarter standalone. Sir, can you just talk about some of the drivers that took place in fourth quarter that led to this deterioration? And maybe related to that, can you talk about the higher claim that we have seen in Czech Republic? What’s been driving that higher property claims? And is that more structural in nature? And should we expect that to improve going forward in terms of the combined ratio in Czech? The second one would be on Slide 12, the CSM roll forward. While I appreciate you don’t really provide the sensitivity of CSM to market movements, it would be helpful if you can just break down the impact of €286 million, that was the change in variable fee in terms of how that was driven by different market movement pieces, i.e., change in interest rates, spread movement, equity market movement. So, what’s driving that deterioration? And the last would be, again, on the same slide, the PVNBP was quite strong in 2024, the growth was pretty strong in 2024. Can you just talk about the sustainability of that PVNBP? Should we expect similar level to sustain going forward as well? Thank you.
Peter Höfinger: Thank you for the question to the combined ratio. You know that we had Boris in end of September. Czech Republic has been quite heavily hit. I think we made a very conservative first estimate of our claims. Nevertheless, there is a certain specific of flood claims, differently to storm claims, flood claims to have a certain delay in reporting because people are realizing the claims a bit later. We therefore have also in the fourth quarter, further increased our IBNR. Let’s see if we have been maybe too cautious on the IBNR or if they are right for the flood. So, this is one of the elements. And yes, there has been a bit higher frequency on property retail claims, which I see as a certain appearance, which I do not see as a tendency, and I am optimistic that we will come back to the combined ratio in Czech Republic without special events like the flood, which we are used to have seen.
Liane Hirner: Regarding your questions on Slide 12, CSM, the changes in reliable fee mainly derived from reduced interest rate environment, so this is the main impact here. And regarding present value of new business premiums, this value increased quite significantly compared to last year because it only shows the new business. So, here I would like to state that this result also underlines the VIG’s strategic approach to exploit all the opportunities in our – in all our markets. This year, we had quite good impact from the special markets, especially Turkey. So – and we are well aware that maybe these opportunities may not be sustainable in the long run. So, this would be the explanation for 2024. I hope this answers your question.
Bhavin Rathod: Yes. That’s very helpful. Thank you so much.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Nina Higatzberger-Schwarz, Head of Investor Relations for any closing remarks.
Nina Higatzberger-Schwarz: Thank you for all your questions and your interest in VIG. The 2024 Group Annual Report will be published on the 28th of April. And if you have any questions in the meantime, please feel free to contact the Investor Relations department. We are happy to help. Thank you and goodbye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call and thank you for participating in the conference. You may now disconnect your lines. Goodbye.